Operator: Good morning, and welcome to the Fourth Quarter 2015 Dover Earnings Conference Call. With us today are Bob Livingston, President and Chief Executive Officer; Brad Cerepak, Senior Vice President and CFO; and Paul Goldberg, Vice President of Investor Relations. After the speakers' opening remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this conference call is being recorded and your participation implies consent to our recording of this call. If you do not agree with these terms, please disconnect at this time. Thank you. I would now like to turn the call over to Mr. Paul Goldberg. Mr. Goldberg, please go ahead sir.
Paul Goldberg: Thank you, Kristy. Good morning and welcome to Dover's fourth quarter earnings call. With me today are Bob Livingston and Brad Cerepak. Today's call will begin with comments from Bob and Brad on Dover's fourth quarter operating and financial performance and follow with our 2016 outlook. We will then open up the call for questions. As a courtesy, we kindly ask that you limit yourself to one question with a follow-up. Please note that our current earnings release, investor supplement and associated presentation can be found on our website, www.dovercorporation.com. This call will be available for playback through February 9, and the audio portion of this call will be archived on our website for three months. The replay telephone number is 1-800-585-8367. When accessing the playback, you'll need to supply the following access code, 22028065. Before we get started, I'd like to remind everyone that our comments today, which are intended to supplement your understanding of Dover, may contain certain forward-looking statements that are inherently subject to uncertainties. We caution everyone to be guided in their analysis of Dover by referring to our Forms 10-K for a list of factors that could cause our results to differ from those anticipated in any such forward-looking statement. Also, we undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. We would also direct your attention to our website where considerably more information can be found. And with that, I'd like to turn the call over to Bob.
Robert Livingston: Thanks, Paul. Good morning everyone and thank you for joining us for this morning’s conference call. Our fourth quarter and full year results continue to be impacted by tough market conditions especially in oil and gas. We delivered fourth quarter adjusted EPS $0.81 in this driven by solid execution and some year-end tax benefits as our teams continued to pursue customer wins, cost actions and productivity initiatives. In 2015, we increased our efforts around operating efficiencies through our Dover Excellence program. One key element of this program focuses on free cash flow generation which increased to 795 million for the year. The program also supports our ongoing investment and product innovation and customer activities. Additionally during the year we took multiple steps to resize our businesses to reflect difficult market conditions, especially in our Energy segment. These initiatives will remain of focus in 2016. Further we closed on four acquisitions since our last call. These businesses would generate well over $0.5 billion in revenue 2016 and significantly complement and expand our market positions. Now, let me share some comments on the quarter. From a geographic perspective, excluding our energy exposure in tough comps and retail refrigeration markets, our U.S. industrial activity remained solid and grew more than 4% year-over-year. On a sequential basis China markets improved and European activity was largely flat. Both regions were down versus the prior year. In Energy markets were even tougher as we moved through the quarter and into the New Year. Given that as a backdrop our teams focused on actions to drive sales and remained resolute in implementing cost reductions. Our aggressive cost actions have reduced the impact of volume declines as reflected by decremental margins in the low 30s. On the revenue side, we estimate we’ve generated 5% growth from new business, much of it driven by new product introductions and continuing strong service levels. In 2016, we will strategically look to win new business with a strong focus on customer service and of course continue to look for opportunities to reduce our cost structure. Engineered Systems had a solid quarter with 4% organic growth. Within Printing & Identification, our digital textile printing results were strong, driven by a significant increase in order activity. We also posted good results in our core marking and coding business. In the industrial platform modest organic growth was led by strong results in our environmental solutions business. Fluids once again posted strong margin, despite revenue being impacted by oil and gas exposure, reduced year-end capital spending and tough comps offer a very strong fourth quarter of last year. The solid execution resulted in segment margin exceeding 19%, excluding the impact of recently completed acquisitions. Within our Refrigeration & Food Equipment segment, revenue and earnings performance was as expected. Importantly, we now see the benefits of our customer expansion efforts reflected by new wins in retail refrigeration. Our retail refrigeration orders were up 20% over last year, setting us up for an improved start in 2016. As we’ve discussed, we were able to close as we ended the year. Integration activities are well under way and our customers are excited about the broader product sets we now offer. Early results are quite positive. Regarding the acquisition pipeline, we’ve continued to look for businesses that expand and enhance our positions in our key markets and will remain diligent and disciplined on valuations. Now looking to 2016, we expect Engineered Systems, Fluids and Refrigeration & Food Equipment to all grow revenue this year. Within Energy we’ve remained cautious. We have reduced our full year revenue forecast to reflect weaker U.S. market conditions providing some offset we now have better line up side on incremental new business. Our aggressive pursue of additional business expanding our international presence and strong focus on cost is ongoing. We expect to make further progress on these initiatives in 2016. In Engineered Systems, we anticipate solid organic growth led by the leading technology and new products offered across the segment. Specifically, we expect the marking and coding markets to be solid and our digital textile businesses to have double digit growth. Within our industrial platform, modest organic growth will be led by strong performance in environmental solutions and vehicle services. This performance will be complemented by our continued focus on cost and productivity. Fluids will grow driven by the recent acquisitions. We also anticipate continued strong core margin performance on the benefits of ongoing productivity projects. In addition, a well-executed integration of our recent acquisitions will provide a path to future revenue and margin improvement and enhanced customer service through skill and efficiencies. Finally, within Refrigeration & Food Equipment we expect much improved revenue and earnings in 2016, leveraging our leading technology and merchandizing solutions. Retail refrigeration should lead the improvement. We also expect solid performance in our Food Equipment markets. In summary, we are reaffirming our EPS guidance. With that let me turn it over to Brad.
Brad Cerepak: Thanks Bob. Good morning everyone. Let’s start on Slide 3 of our presentation deck. Today we’ve reported fourth quarter revenue of 1.7 billion, a decrease of 14%. This result was comprised of an organic revenue decline of 12%, growth from acquisitions of 2% and an FX impact of 4%. Adjusted EPS was $0.81and above our implied Q4 forecast. The performance improvement consists of $0.01 higher segment income and $0.05 on the tax line. Segment margin for the quarter was 13.3%, 150 basis points below last year. Adjusting for fourth quarter restructuring of 16.5 million, margin was 14.3%. Restructuring activities were broad based with a continued focus on Energy. Bookings decreased 13% to 1.6 billion, largely reflecting significantly lower oil and gas markets and soft macro conditions. Overall book-to-bill finished at 0.96. Our backlog decreased 16% to 1 billion. Free cash flow was once again solid at 274 million for the quarter 16% of revenue. We are beginning to see the results of our Dover Excellence program reflected in cash flow performance. For the full year we generated 795 million of free cash flow, representing over 11% of revenue, a full point higher than last year. Now turning to Slide 4, Engineered Systems had solid organic growth of 4%, reflecting strong growth in our Printing & Identification and environmental solutions markets. Fluids decline of 6% was driven by weak oil and gas markets and generally softer market conditions. Refrigeration & Food Equipments organic revenue declined 6% primarily on reduced volume from a key retail refrigeration customer. Energy organic revenue was down 40% on significant declines in North American oil and gas markets. As seen on the chart, acquisition growth in the quarter was 2% while FX had a negative 4% impact. Turning to Slide 5 and our sequential results, revenue decreased 5% from the third quarter, largely reflecting normal seasonality in our retail refrigeration markets and a continued step down in Energy markets. Engineered Systems and Fluids were modestly up. Sequential bookings decreased 5%, principally driven by the impact of oil and gas markets and normal seasonality in retail refrigeration. Strong growth in Engineered Systems resulted from solid Printing & Identification markets and robust environmental solutions orders. Now on Slide 6, Energy revenue of 323 million decreased 41% driving earnings down to 31 million. Energy results continued to be impacted by steep declines in oil and gas markets. However, we continue to see targeted customer wins in the Middle East and North America. Energy absorbed an additional 4 million in restructuring cost in the fourth quarter and has incurred 31 million in cost for the full year. Excluding the Q4 restructuring cost, our operating margin was 10.8%, reflecting volume and price declines partially offset by the benefits of productivity and previously completed restructuring. We expect the carry over benefits of these and other cost actions to be approximately 40 million in 2016. Booking through 316 million in book-to-bill was 0.98. Now on Slide 7, Engineered Systems revenue of 597 million increased 1% overall, reflecting organic growth of 4% and acquisition growth of 3%, partially offset by an FX impact of 6%. Earnings of 89 million decreased 4%, principally reflecting the impact of acquisitions in the quarter. Our Printing & Identification platform revenue was 256 million, increasing 3%. Organic revenue was up 8%, reflecting strong digital textile markets and solid North American marking and coding activity. Acquisitions had 6% growth while FX had 11% impact. In the industrial platform, overall revenue declined1% to 342 million, where organic growth of 1% was offset by FX of 2%. Organic growth was once again led by environmental solutions. We incurred 5 million in restructuring cost in the quarter for actions that will further improve our cost structure. Excluding the Q4 restructuring cost, margins were 15.7%, reflecting the benefits of prior cost actions partially offset by business mix. Bookings were 608 million, a decrease of 2%, reflecting organic bookings growth of 1% and acquisition growth of 2%, offset by 5% impact from FX. Organically Printing & Identification bookings were up 6% and industrial bookings decreased 3%. Book-to-bill for Printing & Identification was 0.98, while industrials was 1.05, overall book-to-bill was 1.02. Turning to Slide 8, Fluids revenue decreased 6% to 356 million and earnings decreased 1% to 62 million. Revenue performance reflects 6% decline in organic revenue, whereby the impact of acquisitions and FX largely offset each other. Our Fluids transfer businesses remained solid and were up slightly organically. While our pumps results reflect the impact of weak oil and gas markets and the timing of large project shipments. The impact of acquisitions reduced margins roughly 170 basis points in the quarter resulting in margin of 17.6%. Excluding acquisitions and related purchase having a deal cost, margin was 19.3% reflecting continued strong execution. Bookings were 321 million, a decrease of 7% overall or 6% organically. This result primarily reflects slower year-end CapEx activity and the impact of oil and gas exposure in our pumps markets. Book-to-bill was 0.90. Now let’s turn to Slide 9, Refrigeration and Food Equipments revenue of 419 million declined 9% from the prior year and earnings were 43 million. As expected, revenue continued to be impacted by reduced volume from a key retail refrigeration customer. Our glass door business remained solid and our can-shaping business was improved. Operating margin was 10.2%, adjusting for 6 million in restructuring cost for the quarter margin was 11.7%, down 50 basis points from ingested prior year reflecting lower volume, partially offset by productivity improvements. Bookings were 380 million, an increase of 3%, reflecting significant improvements in order activity. Book-to-bill was 0.91, a large improvement over last year. This strong bookings activity sets us up well as we begin 2016. Now going to the overview Slide number 10, let me cover some highlights. Corporate expense was 25 million, down 5 million, reflecting ongoing cost management initiatives. Our fourth quarter tax rate was 25%, excluding discreet tax benefits. This rate was lower than our last estimate principally reflecting passage of the Tax Relief Extension Act, as of now [ph] our full year normalized tax rate was 27.8%. Moving on to Slide 11, which shows our full year guidance. Our 2016 revenue guidance has been modestly lowered from our recent Investor Day. We now expect revenue to increase 1% to 4%, within this estimate organic revenue is expected to be down in the range of 1% to 4%, one point reduction from our prior forecast due to oil and gas markets. We expect completed acquisitions will add approximately 7% growth, while the impact of FX is expected to be about 2%. This is unchanged from our prior guidance. As a reminder, at the mid-point of our guidance, adjusted segment margin is expected to be around 16.5% excluding the impact of recent acquisitions. Our full year corporate expense and interest expense forecast remains unchanged. We now expect the full year tax rate to be approximately 28%, one point lower than our last guide, reflecting the Tax Relief Extension Act and the impact of recent acquisitions. CapEx remains unchanged as does our full year free cash flow forecast. From a segment perspective, Energy’s full year organic revenue forecast is now expected to decline 11% to 14%, a three point reduction from our prior forecast. The expected full impact from declines in oil and gas markets is partially offset by incremental new business not in our prior forecast. All other segments were unchanged versus our prior guidance. Turning to 2016 bridge now on Slide 12, let’s start with 2015 adjusted EPS of $3.55 around $0.07 higher than forecasted at our Investor Day, reflecting slightly better Q4 performance and an improved tax rate. We expect the year-over-year impact of restructuring cost to provide $0.15 to $0.17 benefit. Performance including changes in volume, productivity, pricing and restructuring benefits will add $0.26 to $0.40 to earnings, modestly lower than our previous forecast. Within this estimate our restructuring benefits of $023 to $0.24. Increases in investment and compensation will impact earnings $0.26 to $0.28. Acquisitions already completely including Toucan will be about $0.18 accretive. The carry over benefit of shares already purchased will be approximately $0.08. Interest, corporate and the tax rate will impact earnings about $0.08, reflecting a minor improvement over our last forecast. In total we expect 2016 EPS to be $3.85 to $4.05. This estimate is unchanged from our prior forecast. With that I’ll turn the call back over to Bob for some final thoughts.
Robert Livingston: Thanks Brad. Markets are mixed as we enter 2016. Our businesses with exposure to oil and gas will once again face challenges, whereas Engineered Systems and Refrigeration & Food Equipment should grow organically. Within this environment we will remain focused on new product launches and innovation across the entire organization, expanding our business with new customers and in new geographies, capitalizing on our customer wins mindset by becoming an even more important partner with our customers and leveraging our Dover Excellence program to continue to drive margin, productivity and cash flow. The combination of these actions is expected to provide incremental revenue of 2 points in 2016 and increase core margin 20 to 40 basis points. The bulk of this incremental revenue is sales from new product introductions. Our plan for EPS growth and strong free cash flow in 2016 is supported by three significant activities that have already been implemented. They are the completion of several acquisitions that will deliver meaningful accretion. 2015 restructuring actions that will provide significant benefits this year and completed share repurchase activity that will deliver $0.08. We expect oil and gas markets to remain uncertain in 2016 and we are poised to take further cost actions beyond what is currently forecasted if necessary. With that I’d like to thank our entire Dover team for staying focused on our customers. Paul, let’s take some questions.
Paul Goldberg: Thanks, before we take questions I’d just like to remind you, if you can limit yourself to one question with a follow up. We have several people in queue, so the more questions we have the less people we can talk to. With that Kristine, let’s have the first question.
Operator: Our first question comes from Deane Dray with RBC Capital Markets.
Robert Livingston: Hey Deane.
Deane Dray: Hey, Bob I was hoping you could expand on Energy where you said that there was some new business that you had won, maybe kind of expand there, what products, what regions? And you also mentioned international expansion.
Robert Livingston: Good morning, Deane.
Deane Dray: Good morning, Bob.
Robert Livingston: Sure, I’d like to - look I think I have shared this comment on at least one call if not a couple of calls last year that as we work through this down cycle in the Energy business, we have continued to work on new product, new product launches and targeting specific customers that we thought we should an initial business position with or even a larger business position with. And in 2015, I think in the second half of the year, we estimated that we had about 5% of our revenue in the second half of Energy with relabeled as new wins. As we provided guidance and initial guidance at the December meeting, we knew we were going to keep the business that we had won in 2015, but we were not including in our guidance any anticipated new business in 2016 unless we actually had a contract or knew we had won the business. And since then we have won some business, we’ve got contracts. Some of the business will actually have modest shipments on here in the first quarter and it’s across the segment, specifically within the upstream markets, we continue to win new business with our PDC intro [ph], but it is most noticeable within our artificial lift business. But I would be remissive if I didn’t throw or call that out [ph] to the guys and our Bearings & Compression business, they’ve also been pretty active and have been successful in this endower as well.
Operator: Our next question comes from Joseph Ritchie with Goldman Sachs.
Joseph Ritchie: Thanks, good morning guys.
Robert Livingston: Hi Joe.
Joseph Ritchie: Just a quick question on oil and gas, there’s a lot of outcomes and uncertainty as it relates to oil and gas over the next three years. I’m just trying to get a sense on how you’re thinking about [indiscernible] business is set up today if we go to cash cost or if we get an uptick in oil and gas and really just where is your mindset there today?
Robert Livingston: Well, I guess to begin that answer Joe; I’ll revert back to the answer I just provide Deane. We have been very active in taking cost out in 2015 and you’ll see us continue to do that in 2016. But at some point in time we will see a change in this market and we are still convinced that our superior - what we believe are our superior service levels and the continuing investment we’re making in product development are the right things to do to be prepared for an upturn when that occurs. Our assumptions in 2016 guide, we are seeing our plan in the first quarter, maybe even in the first four months of year reflect the current pricing of oil in today’s environment, let’s call it roughly $30. Our plan does assume that the price recovers a bit in the second half of the year. Our plan is based on $40 oil price in the second half of the year.
Joseph Ritchie: That’s helpful Bob and maybe my one follow up is really around margins and Brad perhaps for you, within the 16.5 guidance for total portfolio what is the Energy number and how do you think about them the trajectory of Energy margins if and when do you get an uptick in oil.
Brad Cerepak: Okay, sure, so the 16.5 at the midpoint, that’s an adjusted number, just to reiterate that. That’s excluding acquisition related activity but with respect to our segment, the core margin expansion is really coming from the other three segments. We see Energy year-over-year adjusted to adjust down into 2016 and I would say roughly, we would say the margin expectation in Energy is around 12% to 13% for 2016. I would say the way we see the year on Energy, reiterating what Bob said is that obviously year-over-year in the first quarter energy is going to be down significantly. I would say we should be thinking about energy more like the fourth quarter moving into the first quarter, sequentially being pretty much the same and as it relates to the rest of the year than as we see in our forecast some recovery in the average price per barrel of oil, is modest. We would see some further improvement throughout the year. As it relates to the other segments, year over year core margin expansions so the first quarter and into the year will look a lot like the sequence what we have seen in 2015, that is the way we think about it.
Joseph Ritchie: Great, thanks guys.
Operator: Our next question comes from Andrew Obin with Merrill Lynch.
Andrew Obin: Good morning, guys.
Robert Livingston: Good morning, Andrew.
Andrew Obin: Just a question on pretty good industrial performance Printing and ID could you get us some color because it seems you guys did quite a bit better than Danaher reported this morning.
Brad Cerepak: Well, we had - as I reported we had a very strong fourth-quarter at Markem-Imaje organic growth for Markem-Imaje in the quarter was 4%. We actually ended up for the entire second half at 4%, we ended up at 5% organic for the full-year, but on top of that we had a very strong performance from MS, our textile printing business. And interestingly enough we didn’t get any contribution for our higher margin accusation JK in the fourth quarter because of our AD&A charges, but we were quite pleased with the performance of the printing and ID platform in the fourth quarter. I would add to that North America was strong for us in the fourth quarter.
Andrew Obin: And could you just point to specific areas of strength that you were seeing as I said because I think the buy side and sell side are still gloomy in North American industrial and you guys are doing so well.
Brad Cerepak: Well, if you look at the three regions North America, Europe and Asia, I’m doing this little bit from memory here, but I think North America was our strongest business and for Markem-Imaje in the fourth quarter perhaps followed by Europe and trailed by Asia.
Andrew Obin: And if I may on other industrial business what trends are you seeing, are you seeing any destocking towards the end of the quarter, once again very strong performance.
Brad Cerepak: No, actually we were quite pleased with the performance from Engineered Systems in the quarter both platforms, both printing and ID as well as our industrial platform and did not see any evidence at all of destocking.
Andrew Obin: Well congratulations, thank you.
Operator: Our next question comes from Jeffrey Sprague with Vertical Research Partners.
Jeffrey Sprague: Thank you, good morning Jim [ph].
Robert Livingston: Good morning.
Jeff Sprague: Hey, good morning, just before my question, one point of clarification, about what Brad said about Energy in Q1 are the comment about similar to Q4 was that similar rate of year-over-year decline organically or similar revenue levels versus Q4.
Robert Livingston: No, actually I would tell you that if you look at the first quarter for Dover, if you go back and look at the first quarter of last year and the results will be quite similar and the other three segments excluding Energy, the real change you are going to change in the - yeah, in aggregate, the real change you are going to see in the first quarter is simply the year-over-year decline in Energy. Jeff as you remember the first quarter of last year was still a pretty strong quarter, I would love to return to that level this year, but the first quarter for Energy last year was pretty strong and almost all of the first quarter of ‘16 down from first quarter of ‘15 is attributable to the decline in energy.
Jeff Sprague: Right I was trying to get at whether or not regarding with an organic…
Robert Livingston: On revenue actually, okay if you want to look at it sequentially I think our revenue guide for energy is probably down very, very slightly, maybe $10 million sequentially from the fourth quarter.
Jeff Sprague: Okay, thank you.
Robert Livingston: Our earnings are flat in Energy fourth quarter to first.
Jeff Sprague: That’s very helpful. Hey can you just talk about the Fluids for a moment, book to bill it is a little bit disconcerting, you mentioned timing, but is the timing around oil and gas related jobs that maybe could continue to be a timing issue if you get my interest and just …
Robert Livingston: Yeah, actually that was probably one area in Fluids that what was a bit of a concern in the fourth quarter, Jeff, the - we do continue to see the impact of our oil and gas exposure, especially in our pumps business and I am refereeing to the upstream oil and gas activity and that was down a little bit more than we had anticipated in the fourth quarter. We see that continuing in ‘16, in fact, I would tell you we have been overall I believe sitting here today we are being cautious with respect to fluids and our guide for 2016 because of that, it is just much more difficult to forecast accurately our activity through our distributors and the upstream oil and gas market and some of the other I call them second-order connect markets then it is with actively direct with OEMs. But on top of that, we did see an absence where I would call normal CapEx spending that you see in the fourth quarter, what I called year-end capital budget flush outs and there was a little bit different profile in the fourth quarter and I think we’re being appropriately cautious with our Fluids guide for 2016.
Jeff Sprague: Okay, thank you.
Operator: Our next question comes from Nigel Coe with Morgan Stanley.
Nigel Coe: Thanks, good morning guys.
Robert Livingston: Good morning, Nigel
Nigel Coe: Just wanted to go back to I think the comment that’s you made on regarding Energy the sequential but looks at the last year I think that was the comment and I am just wondering does that includes Tokheim because that is up the - is very material acquisition.
Robert Livingston: No, I’m really referring to earnings Nigel not the top line, obviously in the first quarter we will have the top line performance from Tokheim, but I don’t have the detector but I don’t think we are expecting any contribution or earnings from Tokheim in the first quarter just because we have the normal, well I call it front end of purchase accounting on the Tokheim acquisition. Also don’t lose sight of the fact that as we enter 2016, we don’t drop it to disc ops because that rule was changed but we try to show this details to you on the attached slides that we didn’t disclose a significant business, a $100 million business walk-in covers in the fourth quarter obviously that is not in the numbers in 2016 and we have another pending divestiture that should close here so in the next few weeks that is about a hundred million dollar a year in revenue that is not an guide.
Nigel Coe: Okay, that is helpful Bob. I’m just taking a step back and I guess this repeat into the portfolio, the discussion you just made. How do you think about capital allocation here this year because it seems like it’s a good - better environment to be a buyer yet obviously the macro situations are little bit less visible, so is there a bias towards spending more or maybe conserving capital here, how do you think about that Bob?
Robert Livingston: Well, I always start first with the comment that my preference is to build the business and through capital allocation and will make the acquisitions that are right to help us build bigger businesses and better businesses within Dover. And my second comment is guess we don’t always control the timing of the opportunities. In fact if I remind people here it is rare for us to control the time and we get to say yes or no. I am a little cautious right now with respect to valuations because I think the sort of the down draft on public company valuations is not very well reflected in the - I would call it in private companies that maybe for sale. So we are being a bit cautious here with our outlook here over the next three or four months and then of course that brings up the question of share repurchases. And look, all I can tell you is look at our history we have been quite balanced between M&A and share repurchases over the last three or four years. You should expect us to be as discipline and balance over the next two or three as we have been over the last two or three, but we’re not announcing a share repurchase activity today perhaps more on that over the next two or three months.
Nigel Coe: Okay, very clear, thanks, Bob.
Operator: Again, ladies and gentlemen please limit yourself to one question and one to follow up. Our next question comes from Julian Mitchell with Credit Suisse.
Julian Mitchell: Hi, thank you.
Robert Livingston: Good morning Julian.
Julian Mitchell: Good morning, just a question on Refrigeration and Food Equipment, adjusted sales were down 7% in Q4, but your bookings in Hillphoenix were very good. So, when you’re thinking about the sale…
Robert Livingston: Thank you, I thought they were as well.
Julian Mitchell: Right, when you’re thinking about the sales base turning around, you are guiding up to 2 to 4 adjusted sales growth for 2016. Do we see those bookings speed into the revenues early in the year in Q1 or that is more of a second half feedings into revenue?
Robert Livingston: Well, no you will see the bulk of those bookings have the revenue impact in Q1 but not all. I mean we do have a different order profile with some of our customers than we did with the Wal-Mart and I think we are well loaded with respect to - our factories are well loaded in their first quarter with respect to our forecast, but we are expecting to see this business and this segment return to a growth profile and in 2016 and we are pretty confident. I would add one further comment, last year we dealt with loss of significant chunk of business from Wal-Mart. We are not looking at Wal-Mart as the provider of our growth in 2016, in fact I think the guys are actually taking the Wal-Mart business down a little bit again in 2016, but with that we still believe we have got a good executable plan for growth within the Hillphoenix business and within the segment.
Julian Mitchell: Thanks a lot and then my follow up would just be on the Energy segment. You talked about how you lowered your oil-price average assumption for the year, what about your assumption on pricing for your own products within that business of those - has that assumption change at all.
Robert Livingston: No, we closed 2015 pretty dead on about 3% price concessions for the whole segment and I’ve commented on the several times during 2015. The bulk of that we saw within our rods business and artificial lift and as well as our PVC insert business, with our drilling activity. We do include in our guide another 2% down on top of that is 2% incremental for the segment in 2016 and we feel pretty comfortable with that.
Julian Mitchell: Great thanks.
Operator: Our next question comes from Steven Winoker with Bernstein.
Steven Winoker: Thanks and good morning.
Robert Livingston: Good morning.
Steven Winoker: Just a bit fire point to get on the Energy side what rate kind of assumption are you making in now for 2016 given this continued deterioration.
Robert Livingston: So, let’s say I told you that in the first three to four months of the year we are looking at a price of oil 30 or below 30s. For the recount I think low end of our guidance we see the rig count down 28% or 29%, at the high end point of our guidance it is down 25%, 26%.
Steven Winoker: Okay, great that’s helpful thanks. And then if you breakout both the Engineered Systems the industrial peace within that on the pump side the things that were actually down…
Robert Livingston: Wait a minute pump is not an Engineered Systems.
Steven Winoker: No, no, I know, I am talking about two different segments. So within the on the first on the industrial side of Engineered Systems the down 3% on the bookings front and the down 1% on revenue, obviously that is not environmental which is - what is getting hit in that place, in that segment?
Robert Livingston: Well, I’m not following your - I am not - you have asked me about the numbers but I will…
Steven Winoker: You said environmental solutions was positive something negative
Robert Livingston: More of it, what you need to recognize that included in the industrial platform is a business that we owned in 2015, that we still own today, that we are the process of divesting and it is about $100 million a year and that revenue for that businesses is taking out of our guidance in 2016 and I think you’ll note that is probably the most significant decline.
Steven Winoker: That is hitting organic, okay.
Robert Livingston: That is hitting organic, yes.
Steven Winoker: Okay fine and then I was just thinking on the pumps side within Fluids the non-energy side you got industrial plastics and [indiscernible] et cetera what do you think in those areas.
Robert Livingston: Hold it solid.
Steven Winoker: Okay great, thank you.
Operator: Our next question comes from Scott Davis from Barclays.
Scott Davis: Hi guys, and sorry if you already answered this question. I don’t recall hearing you say what you’re pricing your backlog look like holistically, was it that you said it was flattish, I think your sector Energy was better than kind of expected but the price for oil.
Robert Livingston: The pricing in our backlog gosh, Scott we are such a book and ship business, it is not something I really pay much attention to as I commented earlier within Energy our price for the segment, our price concessions for the segment were down 3% for 2015 and we expect another 2% down in 2016 but I’m not sure. Does that answer your question?
Scott Davis: Yeah, I guess I was trying to get at the non-Energy stuff and see if there was some price deflation you’re seeing on those businesses.
Robert Livingston: No, no.
Scott Davis: Okay that’s fair enough and then what is the FX impact on the backlog, has to be pretty substantial I would think so trying to get some granularity there.
Robert Livingston: I would say we dealt with the bulk of the FX impact on our backlog in the first nine months of last year. I don’t think we have any exposure in our backlog beyond what we’re already guiding, which is another 2% headwind this year in FX and I should be sitting here with a smile on my face saying it is down from four to two, but still 2% is a pretty significant number for us, but again it is - we are such a book and ship business that you see it sure pretty quickly in revenue and I think we’ve got it covered.
Scott Davis: Okay, all the other questions have been answered, so thank guys.
Robert Livingston: All right, thanks, Scott.
Operator: Our next question comes from Steve Tusa with JP Morgan.
Steve Tusa: Hey, good morning.
Robert Livingston: Good morning, Steve.
Steve Tusa: Just a couple of questions on restructuring team can you just help us kind of reconcile, what would be the incremental restructuring did you guys took relative to the third quarter in Energy what was - I had my own expectation but kind of what was the steps up and down that was attributable to Energy from your third quarter guide? And then also of what were the year-over-year savings you guys recorded? I assume you’re getting some of the savings where you took some heavy structuring early in the year, what was the savings that is recorded year-over-year in your Energy margin in the fourth quarter?
Brad Cerepak: Oh my goodness, I don’t have that detail with me the restructuring in the fourth quarter and energy was little over $4 million and I think that was - I think it was probably up $2 million slightly it was up about 2 million over what we thought we would do as we entered the quarter.
Steve Tusa: So, I guess the question is if things are worse here going forward if it is not you guys are down more like in line of what you are down relative to rig count this year, I mean are you still taking kind of these only choosy restructurings or do we need to see more dramatic cost take out, because this seems like $2 million relative to your annual revenue rate and the decline to dramatic step down in rigs that we’d had and the dramatic step down on oil price, is it a little bit late to help us feel good about the margins you’re gearing (ph) for next year.
Robert Livingston: I think if we - and it’s a good question Steve, I’d tell you that if we weren’t continuing to try to expand our customer service activity and we did in ‘15 and our plan in ‘16 is again to actually see an increase in product development spending within Energy, if we weren’t doing that you would see actually more benefits coming through from some of the restructuring actions we have taken in ‘15. In 2016, I think our guide we have; I think $20 million of restructuring charges in our guide for 2016, 80% of that’s probably in the first half Steve, there may be a little bit of trickle over into the third quarter, but 80% of it, I would say is in the first half. Of the 20 million probably 9 million of it is Energy. The balance of the 11, a little bit Refrigeration, but the balance of the $11 million is pretty evenly split between Fluids and Engineered Systems and if we see further deterioration in the Energy market - look we have got a - at some point in time we have this push versus pull of taking cost out versus continuing to invest for tomorrow and for being a better partner with our customers. And if we see further deterioration in the energy market that debate gets a bit harsher.
Steve Tusa: Got it, great, thanks a lot.
Robert Livingston: Thanks.
Operator: Our next question comes from Shannon O'Callaghan with UBS.
Shannon O'Callaghan: Good morning, guys.
Robert Livingston: Good morning, Shannon.
Shannon O'Callaghan: In terms of down 45 in drilling and production in the quarter, do you have the split between the drilling and the production piece and then are you seeing any change in sort of drill, but uncompleted well activity or any other dynamics there.
Robert Livingston: So, do I have a split between drilling and production, you will have to follow up with Paul and I don’t have that, I will tell you as a cover comment that through every single quarter in ‘16, our drilling activity was down year-over-year much more than our other upstream activity which is artificial lift and automation. I think our drilling activity in ‘16 was down 60% or 65%, significantly more than we saw in artificial lift and automation. I don’t know, does that give you a little bit color, but I don’t have the exact numbers Shannon.
Shannon O'Callaghan: Yeah, that’s helpful and in terms of I mean now that we are down at 30, I mean have you seen any change in behavior on the production side in terms of these uncompleted wells or anything else in the various space.
Robert Livingston: We are monitoring that pretty closely, we continue to see what is the industry, looks like [ph] ducts drilled uncompleted, we continue to see the ducts inventory built during the third and fourth quarter, that’s always hard to forecast. For us it is something that we look at in our sort of our rear view mirror as the data gets released, but we do know that the activity is quite different between the basins here in North America. West Texas or the Permian basin is starting to see some increased completion of drilled, but previously uncompleted wells, we are not seeing that in the other basins and that’s our fourth quarter comment that’s not our first quarter comment.
Shannon O'Callaghan: Okay, that makes sense, thanks a lot guys.
Robert Livingston: Okay.
Operator: Our next question comes from Andy Kaplowitz with Citi Group.
Andy Kaplowitz: Good morning, guys.
Robert Livingston: Good morning.
Andy Kaplowitz: Bob, I think you mentioned that China sequentially improved in 4Q versus 3Q and I know you had some comments of that at the analyst dinner. Maybe you can talk about China across the business, are you seeing more signs of stability there across the business.
Robert Livingston: You are referring to China, if the question is more of a general comment about China, I can’t see the improvement we just don’t see it, even when we talk to our folks on the ground there. I think the improvement we saw in the fourth quarter, I am going to trace it back to comments I have been making all year long it’s - we continue to look for opportunities or new product releases, a new product specific to China market, even with some of the restructuring activity that we have planned in the first three to five months of 2016 and this is [indiscernible] comment within the Fluid segment all of that restructuring is in Europe, People interestingly enough and some of the benefits that we will achieve with the restructuring of China is actually being reallocated to increase our customer facing and service capabilities in China, there are opportunities for growth but I am not going to label, I am not going got label the change we saw in a n fourth quarter is a grounds well changed.
Andy Kaplowitz: Okay, that’s helpful and you talked about Refrigeration already, but the margin itself was relatively low, a lot of that has to do with lower volume, do you think this is the bottom for margin in that segment and do you see have you seen any incremental pricing pressure in that segment or do you expect it to improve.
Robert Livingston: Oh gosh, this is probably the - let’s not talk about the segment, it is specific, my comment would be very specific to Hillphoenix, I would say that this is always been a very price competitive market and we will see what happens in 2016 and 2017 where the change in ownership with our major competitor. Margins in the segment for the fourth quarter, the fourth quarter is historically, traditionally our weakest quarter of the year for margins for the segment. I think we saw that again in the fourth quarter of ‘15, but we do see a pretty good path going forward here in 2016 for margin improvement for the year.
Andy Kaplowitz: Thank you.
Robert Livingston: Do we have another question Kristine?
Operator: Yes, our next question comes from Johnny Wright with Nomura.
Johnny Wright: Good morning, guys.
Robert Livingston: Good morning.
Johnny Wright: So I think in Fluid, Bob you talked about of extreme exposure 10% - 12% gas, does wondering about mid-stream exposure given we have seen some started to come [indiscernible] kind of more pulling back on CapEx, do you have sense of how big mid-stream exposure there is particular in the [indiscernible] and hearing from customer.
Robert Livingston: We have some exposure, I am not sure what the percentage is, I think it may be less than we have in upstream, we have we have seen it in some of our fuel transfer product that’s deal with terminals and distribution I would say it was softer than expected in 2015 but I would label it as negative, we are taking cautious approach as we look at that part of the market in 2016 but I also point out that we also have this mid-stream exposure around Energy within our Energy segment in bearings and compression and we watch that pretty closely especially the OEM build rates around compressors and that was down in the second half of last year. We are not anticipating a recovery in fact I believe that the guys are actually see further decreases in OEM compressor build rates in 2016.
Johnny Wright: Okay, all right guys, given that on the Fluid sides and giving where you are floor keepers and the sales and the book to bill front, what kind of offsetting positives that give you comfort in that negative 1% to plus 2% organic for 2016.
Robert Livingston: Look, you asked a question about the mid-stream but still the bulk of our by a large percentage, the bulk of our activity and fluids is not in upstream or mid-stream, the retail filling piece which is fairly significant and even more so now with the acquisition of Tokheim we view as solid around the globe in 2016, it has both market expansion opportunities as well as some significant drivers and safety and regulatory issues. And we have embedded within that platform, within our fluid transfer platform is our medical and our connector business or fluid connector business and that business I think had 7% or 8% organic growth in 2015 and is looking at something similar to that in 2016.
Johnny Wright: Great, thanks guys.
Operator: And ladies and gentlemen, we’ve reached our allotted time for Q&A today and we thank you for your participation in today’s fourth quarter 2015 Dover Earnings call. Please disconnect your lines and have a wonderful day.